Operator: Good morning, and welcome to theZebra Technologies Third Quarter Earnings Release Conference Call. Joining usfrom Zebra Technologies are Mr. Charles Whitchurch, CFO and Mr. AndersGustafsson, CEO of Zebra Technologies. All lines will be in a listen-only modeuntil after today's presentation. Instructions will be given at that time inorder to ask questions. At the request of Zebra Technologies, this conferencecall is being tape- recorded. Should anyone have any objections, pleasedisconnect at this time. At this time, I would like tointroduce Mr. Charles Whitchurch, CFO of Zebra Technologies. Sir, you maybegin.
Charles Whitchurch: Good morning, and thank you forjoining us today. Certain statements we will make on this call will relate tofuture events or circumstances, and therefore, will be forward-lookingstatements within the meaning of the Securities Litigation Reform Act of 1995.Words such as "expect", "believe" and"anticipate" are few examples of the words identified in aforward-looking statement. Forward-looking information issubject to various risks and uncertainties, which could significantly affectexpected results. Risk factors were also noted in the news release we issuedthis morning, and are also described in Zebra's 10-K for the year endedDecember 31, 2006, which is on file with the SEC. Now, let me turn the call over toAnders Gustafsson for some brief opening remarks.
Anders Gustafsson: Thanks Randy, and good morningeveryone. I am very pleased to be here today to review Zebra's third quarterresults. I have asked the Mike Terzich to join Randy and me on the call today.Mike leads Global Sales and Marketing for our Specialty Printing Solutionsbusiness unit. Record sales and improvements ingross profit margin drove profitability higher, putting Zebra's third quarterresults at the upper end of our forecasted range. We had continued strength throughchannels and high growth in our international regions, coordinated good salesexecution combined with a solid opportunity pipeline, which resulted in keywins in targeted vertical markets. These results are evidence that Zebracontinues to be the winning brand in our core specialty printing business, andthey demonstrate the success of our growth strategy. During the quarter, we further positionedZebra for accelerated growth with the acquisition of proveo, and an agreementto acquire Navis, which we announced last week. These companies built on ourplatform in real-time location systems, which we established through theacquisition of WhereNet in January. These three companies expand a rangeof data acquisition, technologies and solutions. Zebra is able to deliver twocurrent and potential customers to identify, locate and track valued assetsacross the supply chain. During my first month at Zebra,we have worked diligently to further identify and develop the various growthareas available to the company. The activities we have undertaken in ourestablished businesses to sustain more consistent sales growth and profitability,combined with our investments in higher growth adjacencies, positioned Zebrafor increased success going through the fourth quarter and 2008. Let me now cover some of thethird quarter highlights. In EMEA, sales bounced back from lower growth in thesecond quarter. Nearly all nine sub-regions made meaningful contributions tothe turnaround. Sales growth was particularlyrobust in Central and Eastern Europe, Italy, the Middle East and India. The strong backlog goinginto the second half of the year generated a consistent healthy rate ofbusiness throughout the quarter, with project wins in retail and warehousingamong other verticals. The outlook for EMEA continues to be favorable. Sales growth in Latin America accelerated, with solid performance across nearly allprinter product lines and all geographies. Consistent with our second quarterexperience, adoption rates of Zebra's mobile route accounting solutionsremained high. Asia-Pacific continued to standout as an important contributor to overall growth. Greater penetration of largemultinational accounts plus strategic wins in government, retail andhealthcare, all are results of our investments over the past few years tostrengthen our leadership, infrastructure and people in this region. We willfocus on this, and a greater presence gives us optimism for further growth inthe Asia-Pacific region. Growth in North America improved over the second quarter, to deliver recordquarterly revenues. Sales benefited from favorable business activity in severalverticals. We also captured all the sales deferred by retailers in the secondquarter. Relatively unchanged from the second quarter, activity with retailersis up for the year, thanks to our efforts to diversify and broaden our customerbase. Sales from WhereNet also made acontribution to consolidated North American sales growth. Overall, we madeconsiderable progress in securing higher sales growth and greater profitabilityfor Zebra during the third quarter. High sales growth in international regions demonstrates thesuccess of our geographic expansion programs. Higher gross profit margin was resultedfrom focused efforts to improve operational efficiency and reduce product cost.And our acquisitions demonstrate a strategic intent to deploy capital inrelated high growth businesses. Now I'll turn it back to Randy to provide a detailed reviewof third quarter results and guidance for the fourth quarter of 2007.
Charles Whitchurch: Thanks, Anders, and good morning everyone. Well, I guessyou'd have to say we're really pleased with the quarterly results for Zebra. 16.5% growth for the sales of the upper end of ourforecasted range, while acquired company certainly contributed to this growth,our core business showed excellent strength with double-digit growth in thequarter. Hardware sales accelerated by 16.9% from 12.6% last quarter,along with an improved product mix. Average unit prices for the quarter were $585, which wasdown from $621 last year, but up from last quarter's $573. New printer products accounted for 5.1% of third quarterprinter sales. While we're clearly disappointed with this result, we expectthis number to improve significantly in the fourth quarter due to four newprinter products we introduced in the third quarter: the ZM400 and ZM600 labelprinters, two high volume mid-range products we introduced, plus a highperformance card printer, the P630i and a new 6-inch photo printer. We expect these products to make meaningful contributions tosales in future quarters. Additional new products are scheduled for release in2008. Supply sales rebounded significantly, increasing 8.7% in thequarter from 2.2% in the second quarter. A strong September set the stage forfurther improvement in the fourth quarter. We are beginning to see the benefit from our Texas label converting facility, with an influx of newbusiness from manufacturers in Northern Mexico.We also have new label converting capacity in Poland,which became operational in the quarter and will enable us to expand businessin Central and Eastern Europe. By geography, we've set sales records in North America, Latin America and Asia Pacific. North American sales were up 8.6% to $105 million, fromhigher business activity through channels supplemented by several key wins in routeaccounting. Sales in our retail vertical were flat year-over-year, butwe made important gains in broadening our account base. Sales growth in everyinternational region exceeded 20%. EMEA sales, which include $4.8 million of foreign exchangegains, advanced 25.2% to $74.2 million. On a constant currency basis, EMEAgrowth was a solid 17%. All sub-regions within the territory contributed to theresult. Asia Pacific and Latin Americaalso delivered strong growth. Latin America wasup 22.9%, with several wins in retail and other verticals with mobileapplications. Asia Pacific sales increased 26.5%, driven largely fromcontinued penetration in China,where sales were up over 50% with notable wins in manufacturing and governmentapplications. Consolidated gross margins came in above guidance at 48.2%,up from 47.1% a year ago and 47.6% in the second quarter. We benefited both comparatively and sequentially from afavorable product mix, foreign exchange gains, and improvements in manufacturingvariances. The drag of nearly 4 percentage points from WhereNet maskedsubstantial progress we've made in improving the profitability in our corebusiness. Operating expenses of $67.6 million were within theforecasted range. They include one-time charges totaling $4 million or $0.4 ofshare related to the retirement of former Chairman and CEO, Ed Kaplan and boardactivities for the search and hiring of new CEO, Anders Gustafsson. Amortization of intangibles and FAS 123R expenses totaled$7.3 million, including $1.7 million directly related to the CEO retirement. A year ago, non-cash charges totaled $2.4 million. Excludingnon-cash charges, third quarter '07 operating margin was 20.6%, up from 19.1%for the second quarter and 17.1% on a GAAP basis. Details on these pro forma resultsare contained in our press release. Third quarter investment income totaled $4.4 million, with areturn on beginning balances of 3.6%. Net income equated to $0.39 a share. Free cash flow for the quarter amounted to $15.6 million netof acquisitions. During the third quarter, we used $42 million to buyback 1.2million shares of stock. For the year-to-date, we have deployed close to $200 millionin acquisitions and stock repurchases. An additional $145 million is earmarked forthe Navis acquisition, to bring total capital deployment to approximately $345million for the year. DSO for the quarter was a comfortable 56.2 days. Inventoryturns were 5.3. Our quarter-end cash position was $469 million. We expect fourth quarter sales tobe between $215 and $227 million. Earnings should be in the range of $0.38 to$0.45 a share. This forecast assumes a gross margin of between 48% to 49%. Weexpect operating expenses to be in the range of $68 million to $69 million. Ourforecast includes up to $4 million each in FAS 123R expense and intangiblesamortization. Effective tax rate for the quarter will be 34.5%. That concludes my formal remarks.Thank you for your attention. And here is Anders for some concluding comments.
Anders Gustafsson: Thanks, Randy. Our third quarterresults validate the strength of Zebra's core business and the success of ourgrowth strategy. Expanding geographic presence, delivering applications inhigh-growth vertical markets and creating greater customer intimacy withhigh-touch sales modules are some of the activities that are enabling Zebra toextend global leadership and become a more formidable competitor. My observation is that these arethe right activities that can, and will lead to consistent sales growth. Continued focus on operationalefficiencies will enable further improvements in profitability and earningsgrowth. In short, I believe there shouldbe significant growth and profit potential in specialty printing and bar codelabeling solutions. Our capital deployments in highergrowth adjacent businesses enhanced Zebra's growth prospects across multipledimensions. Our acquisition of WhereNet inthe first quarter established Zebra as a leader in active RFID and real-timelocation systems. It also strengthened our position in key vertical markets foractive RFID, such as, in industrial manufacturing, distribution and logistics,and aerospace and defense. We added GPS to our portfolio of identification andlocation technologies in the third quarter, with the proveo acquisition. Thistransaction also gave us a more meaningful presence in the airline industry. With these transactions, we haveclearly expanded the business opportunity with new customers for Zebra. Equallyas important, they expand a breadth of solutions we are able to deliver tocurrent large key accounts. We can build on our trusted position as a leadingprovider of bar coding and passive RFID identification solutions, which arewell-suited for tracking items, cases and pellets. Active RFID and GPS provides amore comprehensive ability to identify, locate and track critical assets.Established customers are already seeing the potential benefits of deployingsolutions, incorporating these technologies to improve their businessprocesses. We believe that Navis will addanother high value element for Zebra in delivering business improvementsolutions. Complementing our data acquisition technologies, Navis' softwaresystems optimize the flow of goods in and around the enterprise. The drive forgreater efficiency in the global supply chain provides ample growthopportunities for this expanded set of Zebra solutions. Thank you for your attention. Weappreciate your time and interest in Zebra. We would now be happy to answer anyquestions you may have.
Operator: (Operator Instructions)
Anders Gustafsson: Do you have any questions,operator?
Operator: Yes, sir. Your first questioncomes from the line of Phil Alling from Bear Stearns.
Phil Alling - Bear Stearns: Hi, this is Philip Alling.
Anders Gustafsson: Hi, Phil.
Charles Whitchurch: Hi, Phil.
Phil Alling - Bear Stearns: You can hear me. Okay, good.Given the technical difficulties, I thought I would just double check to makesure that you can hear me.
Anders Gustafsson: Well, that's a good thing,currently today. We thought we have been so clear there were no questions.
Phil Alling - Bear Stearns: I appreciate the opportunity toask some questions. So, with respect to the WhereNet and Swecoin acquisitionsthat you made in the last year as well as the beginning of this year, how havethey performed with respect to your expectations and also as far as sort of theoutlook going forward on your growth? Clearly, you're making someacquisitions in the asset tracking area, diversifying from your core and thebar code printing space. How should we be thinking about relative growth inyour asset tracking unit going forward versus the core bar code printingbusiness. And now on a blended basis, what are your expectations at this pointfor longer-term growth going forward?
Charles Whitchurch: Well, I would say first of all, Phil, there are two parts tothat question. One, how is Swecoin doing and how is the -- we will call itWhereNet prevailed, that puts a WhereNet going. Swecoin is doing really well.We are integrating that very tightly into our -- what we have characterized asour core business. So that will not be going forward after this quarter, willbe considered because we bought it exactly a year ago. It will be in the comparableresults year-over-year and will be part of the core business. The WhereNet acquisition is a little behind where we wouldhave expected it to be at this point. That being said, we are fully expecting thecombined business which would include, after we get clear HSR, the Navis transactionto be going substantially faster than the core business. I can't give you a precise blended growth rate at this time,although I will say that after the first quarter we expect to be reporting on asegment basis. So the numbers will be crystal clear at that time, because thecombined operations of these businesses assuming that we get clear HSR, we'llexceed 10% of the total combined sales of the company.
Anders Gustafsson: Andy, and again, I should emphasize that we are planning tohave an analyst day in New Yorksome time in the first quarter. So, we will be a little more clear about theplans going forward at that point.
Phil Alling - BearStearns: What could you say at this point as far as the marginstructure, your asset tracking business unit clearly will be different go-to marketstrategy, much more reliance on direct sales as opposed to the channel and soforth?
Charles Whitchurch: I would say again, this is anticipating clearance from HSR,which has not happened. Okay, we are not closed on Navis. So, everything wehave to say here is very circumspect. But again, assuming that that goes through,that Navis has a much, it's a software company. So one would expect that the gross margins would besubstantially higher and they are indeed higher. So we would see higher grossmargins from that part of the business and somewhat lower operating margins atleast out of the box until we scale up and expand the operations of thebusiness.
Phil Alling - BearStearns: Okay.
Charles Whitchurch: And some more rapid sales growth, greater gross margin andsomewhat lower operating margin out of the box.
Phil Alling - BearStearns: Okay. And with respect to this foreign exchange impact onthe reported revenues, was there any meaningful currency impact revenue outsideof EMEA, you did sort of give…?
Charles Whitchurch: No. The currency impact is isolated in EMEA, and overall forthe company is $4.8 million and was roughly 2.6% in the year-over-year growth.
Phil Alling - BearStearns: Okay. And just one final little question for me just withrespect to G&A, how should we be thinking about that going forward? You didmention the impact regarding the payment to Kaplan, that you showed in thethird quarter or so, what…?
Charles Whitchurch: Well, we gave the guidance of $68 million to $69 million,that's all in number including 123R and the amortization of intangibles. I willtell you that excluding the acquired growth of the company's year-over-yearoperating expenses, we're up a little over 10% in the core business. Again Ithink it's going to have to -- we are going to have to leave it at that at thispoint Phil.
Phil Alling - BearStearns: Thanks very much. I will pass it along.
Charles Whitchurch: Again, I want to refer you to the detail provided in thepress release on all the non-cash charges relating to the business. It breaksup the 123R and the amortization of intangibles.
Phil Alling - BearStearns: Thanks so much, Randy.
Charles Whitchurch: Yeah.
Operator: And your next question comes from the line of Ajit Pai fromThomas Weisel Partners.
Ajit Pai - ThomasWeisel Partners: Hi. Good morning.
Charles Whitchurch: Hi, Ajit.
Anders Gustafsson: Hi, how are you?
Ajit Pai - ThomasWeisel Partners: Good. A couple of quick questions. The first one is justyour guidance relative to normal seasonality that Zebra seen in the past, andjust given the fact that your business momentum seems to be accelerating, NorthAmerica and Europe and even in Asia. Why isyour guidance so conservative? Were you seeing any early signs of weakness insome markets in your orders or why is it so conservative?
Charles Whitchurch: Well, first of all, we're not seeing any signs of weakness,business is quite good. And I would not characterize the guidance asparticularly conservative. I think it's fair to say that Zebra likes to deliverresults rather than talk about future performance that might not develop. So, I mean I think that it is a reasonable guidance. It iscertainly sequentially up by a decent margin in our view. So, I would notcharacterize it as particularly conservative.
Ajit Pai - ThomasWeisel Partners: Okay. So there is no sign of weakness anywhere, or businessmomentum that's accelerating, good to see it accelerate. You've discussed whatthe margin structures of the new businesses are, from a broad perspective. And there's one other thing that I think, in prior callsthat you had addressed that you're exploring, and then I think in the mostrecent call, you said that, that something that is not the highest priorityright now and that could be setting up low cost manufacturing operationselsewhere. Is that still something that you're working on?
Charles Whitchurch: Yes. We are doing a pilot at the moment to look atoutsourcing as a potential benefit to us. We haven't concluded the pilot yet.So if you hold with us for another quarter or so, we'd be able to share somemore life on that at that point.
Ajit Pai - ThomasWeisel Partners: Right. But when you're looking at it, instead of using anoutsourcing company or vendor, have you considered sort of setting up a Zebrawholly-owned operation overseas as well, or is that, it's primarily looking atoutsourcing?
Anders Gustafsson: You mean for us to do in-house manufacturing overseas?
Ajit Pai - ThomasWeisel Partners: Yes.
Anders Gustafsson: No. We have not looked at that. Ithink that the contra-manufacturers, they manufacture other people's goods forliving, I think that they are quite good at it. I think we can probably getmuch more savings by doing it that way than setting up our own wholly-ownedsubsidiary as you suggest.
Ajit Pai - Thomas Weisel Partners: Got it. Thank you.
Operator: And your next question comes fromthe line of Jeff Rosenberg of William Blair.
Jeff Rosenberg - William Blair: Good morning. Randy, I wanted toask you another angle on the operating expenses. You mentioned with theexpenses for the CEO transition, they got you into the end of the range thatyou had for the quarter. Were those expenses anticipated in your guidance orwas I confused about the growth [of the highest]?
Charles Whitchurch: No, they were not anticipated inthe guidance.
Jeff Rosenberg - William Blair: Okay. So if you backed those outto consider your performance relative to the guidance here, expenses were lowerand yet you're guiding for a pretty significant sequential increase kind ofapples-to-apples with that taken out in the fourth quarter. So can you maybelook at it from that perspective and give us some insight there?
Charles Whitchurch: Well, again Jeff, we roll up aforecast of operating expenses from our operations every quarter, and againthis does include the full bulk load of amortization of intangibles and the123R expenses in the numbers. So, yeah, I would think this is the right numberto give you.
Jeff Rosenberg - William Blair: All right. I was just -- it'sabout a $5 million increment at the midpoint. So it was a substantial increasein expenses. So I just looked in to see if there is anything that in fact tobegin there. And in the sales growth side,could you maybe just taking a step back and looking at the success you'rehaving in your -- the foreign currency that the high-teens growth you've gotrelative to the growth in North America. I mean, is there somethinginherently that you've been able to capitalize on in Europe that's lessavailable to you in North America or perhaps, any comedy could make us theopportunities you have in North America that you feel like that number couldimprove? And maybe just some high-level comments there and the things you'vebeen doing this year to improve North America?
Mike Terzich: Jeff, this isMike Terzich. I'll take your question. On the European front, as youknow, over the last couple of years, we've been pretty active and expanding oursales coverage models in Europe and we have certainly taken advantage of theZebra brand and the multinational migration that has occurred in within theregion, particularly in a couple of the very heavy growth areas, Eastern Europefor instance, and in India, as well. So, I think our strategy has beento be there to build infrastructure, local sales and marketing infrastructureand continue to develop the channel to support where the business is migratingtoo. And that has been in play for us for several years now and it's beenworking very well. Now the question in North America has been really one of diversificationvertically for us. So, the business being very steep and strong in the supplychain manufacturing space and in the retail space, our strategy has been tosmooth out some of the lumpiness associated with parts of that business byextending our solutions vertically. So we've been concentrating on new verticalspaces for Zebra healthcare, government, our [ready] mobile workforce spacethat we've talked about in the past, and that's giving us growth and it'soffsetting some of the lumpiness that we see, particularly, in the retailspace.
Jeff Rosenberg - William Blair: Okay. Last question I had realquick was, is there anything incorporated in guidance for the new acquisitionor is that any expenses and/or revenues there to completely incremental to whatyou've given us in guidance?
Charles Whitchurch: New acquisition meaning the Navisdeal?
Jeff Rosenberg - William Blair: Yeah, any expenses there?
Charles Whitchurch: There is nothing in there fromNavis. Navis is not closed and there is nothing in our guidance related to thatacquisition.
Jeff Rosenberg - William Blair: Okay, thanks.
Operator: And your next question comes fromthe line of Chris Quilty from Raymond James.
Chris Quilty - Raymond James: Hello, guys.
Charles Whitchurch: Hi, Chris.
Anders Gustafsson: Hello.
Chris Quilty - Raymond James: You may have given it and I mayhave missed it, Randy did you break out organic growth in the quarter?
Charles Whitchurch: I didn't break it outspecifically; I said it was in the double-digits.
Chris Quilty - Raymond James: Okay.
Charles Whitchurch: I mean, we had a -- the corebusiness did really well in the quarter, I will say that. And we're quitepleased with that. We've got some really great results internationally, andeven within North America which is highly,which is one of the retail verticals highly concentrated in our business. We had relatively flat sales inthe retail vertical, but we made some important gains in diversifying ouraccount base. So, moving into a position where we want to be able to offsetweakness in one large account that strengthened another. And we seem to be ableto do that in the quarter, and despite the fact that the retail vertical wasrelatively flat, I think strategically, we're really pleased with the resultswe got.
Chris Quilty - Raymond James: So would you say your biggestsurprise in the quarter by product or by geography was North America then, in terms of surprise better than you had expected?
Charles Whitchurch: No, I think actually the biggestsurprise in the quarter was how really strong the international business was. Imean everything was up really in the mid-20's, it was a terrific result.
Chris Quilty - Raymond James: Okay.
Charles Whitchurch: And the other thing that was really, I think that was reallygood for us in the quarter was the fact that we continued to make gains inimproving the gross margin. This is something we've talked about with you guysfor multiple quarters. And our operations guys have done heck of a job in fixingsome of the issues we're dealing with there, and it really doesn't show upquite as much in the numbers of the result that we actually got, because theWhereNet business drags the gross margin down a little bit. So it really maskedthe level of improvement work that we have been able to get in the corebusiness.
Chris Quilty -Raymond James: There was actually a question that I was going to ask, aclarification, you had said in the prepared text that WhereNet was a 1% drag,but was that gross margin or EBIT?
Charles Whitchurch: That's gross margin.
Chris Quilty -Raymond James: Okay. But shouldn't WhereNet longer term be accretive to thegross margin because of the high…?
Charles Whitchurch: Yeah. We would expect those margins to improve as theirsales mix shifts much more to a software and maintenance component and, ofcourse, again assuming the Navis transaction gets approved, there's going to bean even bigger shift there, because Navis is principally a software company.
Chris Quilty -Raymond James: Okay. And when you mentioned that WhereNet was a little bitmore behind than where you had thought it would be at this point, were youtalking primarily about the financial contribution or where they are in termsof business development pipeline, order book and stuff like that?
Charles Whitchurch: It's the financial contribution at this point.
Chris Quilty -Raymond James: Okay.
Charles Whitchurch: The one of the areas where WhereNet has had historically aquite a strong presence is in automotive and that as a segment have beensomewhat weaker this year.
Chris Quilty -Raymond James: I am surprised, surprise.
Charles Whitchurch: Yeah.
Chris Quilty -Raymond James: And also talking on the gross margins, you had mentionedearlier -- that question got asked. Sorry about that. Order delays, lastquarter, you had mentioned a number of things that were pushing out to the rightand should land in Q3, Q4, can you give us a sense of how those delayed ordersare coming in?
Mike Terzich: Chris, this is Mike, and yes, we did mention in the secondquarter call, that in the eleventh week of the quarter we had some push out,primarily retail centric and we were very pleased that those orders came infull in the third quarter. So we recovered what was pushed from Q2 into Q3, abovethe midpoint of the quarter. So we are in good shape there.
Chris Quilty -Raymond James: Okay. And I know the Ed Kaplan rule for one question isn'tin place, but I will ask only more question, which is the consumable business,which you normally mentioned as sort of a leading indicator, hard for us giventhe new facilities and everything else that's going on to kind of figure outwhat the real growth and margin trends are there, but what is the consumablesbusiness telling you today?
Charles Whitchurch: The consumable business, I will tell you, it's a tale of acouple of different stories, and in particular, the first half of the year itwas a little softer than we would like to see, primarily as a result of twocritical markets for us in North America. One being the retail market, which we talked a lot about,and the other being automotive supply chain. We did see some second half of thequarter surge primarily in the retail space which was good to see, becausethat's usually tied to some of the back-to-school initiative that are going onin retail, but that has improved our outlook quite significantly. And then secondarily, we have been doing some expansion, asyou know, with that converting, our converting capability in Europeand we are picking up nice pieces of business in proximity to our locations.Now we have three locations in Europe, Poland Holland and the north of England. Now we are picking up nice pieces of business close in theretail space and in some of the manufacturing extended supply chain space. Soit's been going really well. And if you check with the industry as a whole, ourgrowth is significantly better than industry projections and if you were takingsome share in this space.
Chris Quilty -Raymond James: And the taking share attributed to the local presence?
Charles Whitchurch: Yes, definitely.
Chris Quilty -Raymond James: Okay, great. Thank you, gentlemen.
Operator: Your next question comes from the line of Greg Halter fromGreat Lakes Review.
Greg Halter - Great Lakes Review: Good morning. And thank you for taking the time. Just aquick one on ScanSource, I wondered if you could delineate what percentage ofthat company presented your sales?
Charles Whitchurch: Greg, I don't have that handy. Let me look it up here andwill get back in. Okay.
Greg Halter - Great Lakes Review: All right. And relative to ScanSource, with WhereNet andpotentially [if your] acquired Navis goes through, are they involved in that atall, or is that totally outside of their scope?
Charles Whitchurch: That's outside of ScanSource scope today. There might beovertime some opportunity to work with them to cooperate in that area but todaythat will be beyond what they do.
Greg Halter - Great Lakes Review: Okay. And relative to WhereNet, I think in the past you havetalked about net operating loss carried forward there. Has there been anydecision made on what's happening with those or how that stands?
Charles Whitchurch: No, not at this point and the ScanSource is little over 15%of sales in the quarter.
Greg Halter - Great Lakes Review: Okay, thank you. And on the RFID side, I know there were somementioned on the second quarter call about that that there is some [lifestirring] there relative to the core RFID, I guess if you will. I wondered ifyou could provide us with an update on what you saw in on the third quarter andwhat you see going forward?
Mike Terzich: Greg. This is Mike, and we saw some improvement in the -- are you talking about the passive RFID space.
Greg Halter - Great Lakes Review: Correct.
Mike Terzich: Right. And we saw some improvement in the quarter. There hasbeen a little bit more activity primarily at the government level and therewere couple key pieces of key project that we actually won in the quarterthrough the armed forces. So, we are beginning to see a little bit of uplift inthat particular space. The retail side has been relatively quite.
Greg Halter - Great Lakes Review: Okay. And one last one relativeto the investment income, I think Randy had mentioned, 3.6% return on beginningbalance and I think that's compared to 5% in the second quarter. I justwondered if you could explain the differential in the rates of return?
Charles Whitchurch: We liquidated some positions inthe second quarter, where the profit was, as you say, deferred onto the balancesheet, so was reported under the P&L. And secondly, rate scheme in theportfolio came down, and we have less money to invest. So from a combination offactors, I mean that the reported numbers were a little weaker in the secondquarter -- in the third quarter than the second.
Greg Halter - Great Lakes Review: Okay, great. Thank you.
Operator: Your next question comes from theline of Reik Read from Robert W. Baird.
Reik Read - Robert W. Baird: Hey, good morning. I just want togo back to the operating expense side of the things. In the last couple ofquarters, you guys have actually performed.
Reik Read - Robert W. Baird: Hello?
Charles Whitchurch: Yeah. We hear you.
Reik Read - Robert W. Baird: They came back at me. Thoseoperating expenses have been relatively lower than what you had thought, andnow you're seeing that's boost up. Were there some things that you delayed ordeferred and they are coming into the fourth quarter, or is this kind of alevel that we should be looking at things now? And can you talk a little bitabout, Randy I know you've talked in the past about some of the sellinginitiatives in driving forward, is that something that's now adding more to theexpense side?
Charles Whitchurch: Well I think, there is couple ofthings. When we've got, we do have the acquired companies coming in and I thinkin terms of operating expenses going forward, I think what we're going to doafter the -- in this analyst call, we'll be a little more specific about futurenumbers and things like, Analyst Day will be a little more specific aboutnumbers going forward because the business model will be different because ofthese always acquired companies. To step up in the quarter, islargely related to the timing of expenses that we are anticipating, they havein the quarter and I don't think it necessarily represents a new higher levelof expenses. Now, including in that number is a $7 million of 123R andamortization of intangibles. So, you really have to strip that out from thecore, real spend rate if you will. You get a better look of what's going on.
Reik Read - Robert W. Baird: Right. Okay.
Charles Whitchurch: Okay.
Reik Read - Robert W. Baird: Okay, good enough. And I guessjust directionally, are there any things that you guys are doing from aninternal initiative that might affect those expenditure [IE]. Are there newprojects or programs coming underway that could cause them to boost up or willthey, and I am just talking directionally, I am not looking for guidance on thenumbers.
Charles Whitchurch: No, I would say no.
Reik Read - Robert W. Baird: Okay. And then with respect tothe gross margin, the manufacturing improvement, how much of that, I mean ifyou look at the 60 to 70 basis points sequentially, how much of that is due tothe manufacturing variance improvement?
Charles Whitchurch: On a year-over-year basis, about1.2 points.
Reik Read - Robert W. Baird: Okay. And then, Mike just on theRFID business within the DoD. Is that more of a short-term boost or is thatsomething that you see is relatively sustained as they start to open up Asia?
Michael Terzich: Well, I would like to say, we seeit as a sustainable. I think we've seen just in the pipeline, the activitypipeline has improved which gives us a good indicator that, I think they'vecentered on a couple sweet spots from an application standpoint, that'screating some opportunity for us. So I think at this point, we see it assustainable.
Reik Read - Robert W. Baird: Okay. And then just last one,share repurchase. You guys announced the $1.2 million in the quarter, is thatsomething where you're planning to be opportunistic or is that something whereyou think you'll be regular repurchases as you kind of look forward?
Anders Gustafsson: I think more generally, generallyyou saw return to our investors is clearly our top priority and accessing our capitalstructure is also on my agenda for the rest of this year here. Return on investment capitalwould be one of our key metrics and say, revenue and earnings growth will bethe key operational drivers, but capital structure is also effective which we willaddress. So, I think we'll get back with some more detail on that and probablythe Q4 or the Analyst Meeting we have in February.
Reik Read - Robert W. Baird: Okay. Thank you, guys.
Operator: Your next question comes from theline of Andrew Abrams from Avian Securities.
Andrew Abrams - Avian Securities: I was wondering if you could go alittle further on the manufacturing variance side. You mentioned 1% to 2%, isthere a lot more behind that or is that more behind that first off? And second, can we talk just alittle bit about Navis, should it close? What kind of a growth rate are welooking at for this company historically; I mean you don't have to go forwardyou can go back?
Charles Whitchurch: Well, I'm really going to decline to answer any questionsabout Navis at this point, because the transaction hasn't closed, okay. Sothat's, really kind of off-limits for us at this point. As far as the gross margin improvement, I would say we'vereally gotten to the point now where we've squeezed out most of the variancesthat we have been talking about for last several quarters as that relates to,what I characterized as the blow back from the loss conversion of a little overa year-ago. So, I would not anticipate a lot of additional gross margin improvementcoming from that source. I think we have reached a point where gross marginimprovement is going to come from other initiatives that we are looking at, andthe normal impact that we get from product mix changes in foreign exchange. ButI think there are really two factors that are part of the principal drivers ofgross margin.
Andrew Abrams - AvianSecurities: Thanks.
Operator: Your next question comes from the line of Jeremy Grant fromStanford Group.
Jeremy Grant -Stanford Group: Hey. Congratulations on the great quarter.
Charles Whitchurch: Thank you.
Jeremy Grant-Stanford Group: I think most of my questions have been answered, thathappens when I am the last in the queue. Just wanted to confirm, this mighthave been asked that there was a note in the press release the G&A expensesadd, I think it's about $4 million on one-time charges with Ed leaving and allthat going on, does that mean that G&A would have been right around $17.5million for the quarter without that?
Charles Whitchurch: That's right.
Jeremy Grant-Stanford Group: Okay. I think that's all I had. Thanks.
Charles Whitchurch: Thank you.
Operator: Your next question comes from the line of Kevin Starke from Weeden& Company.
Kevin Starke - Weeden& Company: Two questions. And is there a particular Euro rate embodiedin your fourth quarter forecast?
Charles Whitchurch: Yeah, what we use going forward is the current rate.
Kevin Starke - Weeden& Company: All right, okay. And the second question, rough ideas on thenumber of units sold in the third quarter?
Charles Whitchurch: I'll give you more than a rough idea.
Kevin Starke - Weeden& Company: Okay.
Charles Whitchurch: But you are going to have to hold a minute while I look itup.
Kevin Starke - Weeden& Company: While you are doing that.
Charles Whitchurch: Yeah.
Kevin Starke - Weeden& Company: It may be premature, but you had mentioned a week ago on thecall about Navis that you were looking at what integration and synergypossibilities there, and it sounded like you were going to be looking at thatpretty quickly. Have you come up with anything else that you can share with us?
Anders Gustafsson: From an integration perspective, we are looking to certainlyget working on that very rapidly to start the plan for what the combinedorganization should look like, once we have, assuming we get all the approvalsand everything, but once the acquisition goes through. But the synergies were more on the top line synergies,really than they were in the bottom line. We're buying the company for growth,but we were also be looking at how we can leverage particularly our sharedservices within the company, so finance, HR, IT and so forth.
Kevin Starke - Weeden& Company: Between WhereNet and Navis and the Zebra core business, doyou feel that there might be a little too much overlap between your network ofglobal offices, that some of them could be shut?
Anders Gustafsson: Yeah. That's part of what we would look at in ourintegration plan. But so far, we have a reasonably good global footprint. Theseother companies are much smaller, much smaller footprints and we'll be lookingto see if there are opportunities to do that, but that will be fairly minor.
Kevin Starke - Weeden& Company: Okay.
Charles Whitchurch: Kevin, your unit count is 228,000.
Kevin Starke - Weeden& Company: Thank you. That's all for a moment.
Charles Whitchurch: Thanks.
Operator: And you have a follow-up question from the line of Reik Read from the Robert W. Baird & Co.
Reik Read - Robert W. Baird & Co.: You talked about with respect to gross margins, themanufacturing variances are largely done, but there are more improvementopportunities. Are these improvement opportunities beyond the outsourcing thatyou alluded to before and can you talk a little bit about the timing of whenyou might start to see those?
Reik Read - the Robert W. Baird & Co.: Well, they are actually. They are improving opportunitiesthat we are working down across the supply chain, that are not related to theoutsourcing and we would expect to start seeing those really next year.
Reik Read - Robert W. Baird & Co.: Okay, great. Thank you.
Operator: And I am showing no further questions in queue.
Charles Whitchurch: Okay. At this point, we are going to conclude the call.Thank you for your participation today. Just as a reminder, the conference callfor our fourth quarter and year end results is currently scheduled for February6, 2008 at 10 O'clock Central Time. Thank you for your participation today.
Operator: And this concludes today's conference call. You may nowdisconnect.